Executives: C. Michael Jacobi - Sturm, Ruger & Co., Inc. Kevin B. Reid, Sr. - Sturm, Ruger & Co., Inc. Phillip C. Widman - Sturm, Ruger & Co., Inc. Sandra S. Froman - Sturm, Ruger & Co., Inc. Colleen Scanlon - Catholic Health Initiatives Unverified Participant Christopher John Killoy - Sturm, Ruger & Co., Inc. Michael O. Fifer - Sturm, Ruger & Co., Inc.
C. Michael Jacobi - Sturm, Ruger & Co., Inc.: Okay. Good morning. Well, the meeting comes to order. I'd like to start by welcoming all of you to Prescott with wonderful weather this morning. This is the second time we've had an Annual Meeting here in Prescott where we have a beautiful facility with 400 wonderful employees. So, we're very happy to be here. I am Mike Jacobi, the Chairman of the board of Sturm, Ruger & Company, Inc. and it is my pleasure on behalf of the directors and officers of Sturm, Ruger & Company, Inc. to welcome those present, including those attending the meeting through our webcast to the 2018 Annual Meeting of Stockholders. As a reminder, please silence your cell phone during the meeting. All questions should be held to the end of the meeting after the presentation by our Chief Executive Officer, Chris Killoy. When you do have a meeting or a question, please identify yourself, come up to the mics and the questions will be limited to two minutes. As of this time, I would like to introduce the company's other directors. First, John A. Cosentino, he was not able to attend. He is our lead Director and Vice Chairman and he's listening in to the webcast. Michael O. Fifer, who's also a Vice Chairman; Sandra S. Froman; Christopher J. Killoy, who is our President and CEO; Terrence G. O'Connor; Amir P. Rosenthal; Ronald C. Whitaker; and Phillip C. Widman. I would like to also introduce our company officers, Thomas A. Dineen, Senior Vice President, Treasurer and Chief Financial Officer. Thomas P. Sullivan, Senior Vice President of Operations; Kevin B. Reid, Sr., Vice President & General Counsel and Corporate Secretary; Shawn C. Leska, Vice President of Sales; Sarah F. Colbert, Vice President of Administration; Robert J. Werkmeister, Jr., Vice President of Marketing; and Michael W. Wilson, Vice President of Mayodan Operations. I would also like to introduce Jeff LaGueux and Craig Dent, outside counsel from Patterson Belknap Webb & Tyler. Andy Warren and Brian DiPaola, our independent auditors from RSM US LLP who are available after the meeting to answer any appropriate questions you may have, and Philip Meyer, our Stock Transfer Agent from Computershare Investor Services. In fairness to all stockholders attending the meeting or listening to the webcast and in the interest of having a fair, informative, orderly and constructive meeting, the following rules of conduct and procedure will apply. All stockholders, proxy holders and other authorized representatives must register at the reception desk before entering the room for the meeting. The use of cameras, sound recording equipment, communication devices or any other similar equipment is prohibited without the express written permission of the company. Only stockholders of record of the company's common stock as of March 15, 2018 or other proxy holders are entitled to vote at the meeting. Similarly, only stockholders of record or their proxy holders may address the floor during the question-and-answer period when the Chairman indicates the floor is open for discussion or questions. Stockholder questions or remarks must be relevant to the meeting, pertinent to matters properly before the meeting, and briefly stated within the maximum time limit of two minutes. The meeting is not to be used as a forum to present general economic, political or other views that are not directly related to the business of the company. The views and comments of all stockholders are welcome. However, the purpose of the meeting will be observed, and the Chairman will stop discussions that are irrelevant to the business of the company or the conduct of its operations, related to pending or threatened litigation, derogatory references that are not in good taste, longer than two minutes substantially repetitious of statements made by other stockholders or related to personal grievances. If there is any matter that is of personal concern to a stockholder and it is not an appropriate subject matter for general discussion, please defer discussion of such matter until after the meeting. At that time, or some other mutually convenient time, an officer of the company will be available to meet with stockholders to discuss such matters. You may also contact the company following the stockholder meeting by calling 203-259-7843 and selecting the Investor Relations option. The Chairman of the meeting shall have the authority necessary to preside over the meeting and make any and all determinations with respect to the conduct of the meeting and procedures to be followed during the meeting. The Chairman will consider the violation of these rules cause for expulsion from the meeting. In the event of disorder, the Chairman may immediately conclude the meeting and declare the polls open for such period of time as he may determine to receive votes by proxy or ballot on items of business properly before the meeting. Thank you for your cooperation. We will now conduct regular business of the meeting followed by Chris Killoy's presentation to the stockholders and a question-and-answer period. Our agenda for the formal matters to be brought before the stockholders today will be as follows: to take care of the necessary appointments and documentations for the meeting; to establish a quorum; and to take votes on the items of business properly brought before the meeting. These items of business are: one, to elect nine directors to serve on the Board of Directors for the ensuing year; to ratify the appointment of RSM US LLP as the company's independent auditors for the 2018 fiscal year; to hold an advisory vote on the compensation of the company's named executive officers; to vote on a shareholder proposal to require a report on the company's activities related to safety measures and mitigation of harm associated with company products, and many other businesses may properly come before the annual meeting or any adjournment or postponement thereof. As the company's by-laws provide, I will act as Chairman and conduct the meeting. Corporate Secretary, Kevin B. Reid, Sr., will act as secretary of the meeting and was appointed as Inspector of Elections before the meeting. As inspector, Mr. Reid will determine the presence of a quorum and serve as judge on all matters requiring a stockholder vote at this meeting. Let the minutes of today's meeting show all of the documents concerning the call and notice of this meeting are available here for inspection by any stockholder and will be filed with the records of the company, including a copy of the notice of availability of proxy materials; an affidavit of mailing certifying that the proxy materials were mailed to the stockholders of record of the company; the signed oath and report of the Inspector of Elections; and a list of registered stockholders entitled to vote at this meeting. We have previously supplied each stockholder of record with a notice regarding availability of proxy materials that contained instructions on how to access the company's Proxy Statement and Form 10-K. Extra copies of these documents are available in the back of the room. Additional Proxy forms are available for anyone here who has not submitted a Proxy and would like to do so, or for anyone here who has submitted a Proxy that he or she would like to change. If so, please see Philip Meyer of Computershare at this time. If you are voting in person today, you may give your Proxy form to Mr. Meyer at any time during this meeting, up until the vote is closed on the voting matter. In the interest of time, we encourage you to do so as soon as possible. We would ask that all those present at the meeting sign the attendance book after the meeting is adjourned, if you have not already done so. The by-laws of the company provide that a majority of the voting stock shall constitute a quorum for the transaction of business at this meeting based on proxies and stockholders present. Mr. Reid, may we have the report of the Inspector of Elections on whether or not a quorum is present?
Kevin B. Reid, Sr. - Sturm, Ruger & Co., Inc.: Mr. Chairman, the proxies received by the company in connection with the 2018 Annual Meeting of Stockholders of the company have been examined and have been found to be in proper form, and there are present at the meeting in person or by proxy, at least 15,653,742 or 89.7% of the shares outstanding of the company which are entitled to vote, and such shares constitute quorum for the transaction of business at the meeting.
C. Michael Jacobi - Sturm, Ruger & Co., Inc.: Thank you. Because a quorum is present, this meeting will proceed. Mr. Reid, were there any additional stockholder nominations or proposals for the business for this meeting properly filed with you as Corporate Secretary in accordance with the advance notice requirements of the company's by-laws other than those already mentioned?
Kevin B. Reid, Sr. - Sturm, Ruger & Co., Inc.: No, Mr. Chairman, there were not.
C. Michael Jacobi - Sturm, Ruger & Co., Inc.: As a result, the business of this meeting is limited to the matters set forth on the agenda. Detailed information on each of the proposals is included in the Proxy Statement, copies of which are available in the back of the room. The first order of business is to elect directors for the ensuing year. As indicated in the company's Proxy Statement, nine directors will be elected at today's meeting. Those directors receiving the highest number of votes, or a plurality of votes, of shares present in person or by proxy at this meeting will be elected as directors of the company to serve until the 2019 Annual Meeting of Stockholders and until their successors are duly elected and qualified. As indicated in the company's Proxy Statement, the Board of Directors has nominated the following persons to serve as Directors: myself, C. Michael Jacobi; John A. Cosentino, Jr.; Michael O. Fifer; Sandra S. Froman; Christopher J. Killoy; Terrence G. O'Connor; Amir P. Rosenthal; Ronald C. Whitaker; and Phillip C. Widman. The company's by-laws require that a stockholder give advance notice to the company in order to nominate any person as a director. Because no such notice was received, I hereby declare the nominations for directors closed. The second order of business on the agenda is the ratification of the board's appointment of RSM US LLP as the company's independent auditors for the 2018 fiscal year. The affirmative vote of at least a majority of the shares entitled to vote and represented in person or by proxy at this meeting is required to ratify the appointment of RSM US LLP as our independent auditors for the 2018 fiscal year. At this time, I call upon Phillip C. Widman, the Chairman of our Audit Committee for the Audit Committee's recommendation.
Phillip C. Widman - Sturm, Ruger & Co., Inc.: Mr. Chairman, I move that the action of the Board of Directors in selecting RSM US LLP as the independent registered public accounting firm for the company's 2018 fiscal year be ratified and approved.
C. Michael Jacobi - Sturm, Ruger & Co., Inc.: Are there any remarks on the selection of the independent auditors? The third order of business on the agenda is an advisory vote to approve the compensation of the companies named executive officers as described in the 2018 proxy statement, otherwise known as the say-on-pay vote. While the vote is not binding on the board or the company, we will review the voting results and take them into consideration when making future decisions regarding the compensation of our named executive officers. The affirmative vote of at least the majority of the shares entitled to vote and represented in person or by proxy at this meeting is required to approve on an advisory basis the say-on-pay vote. At this time, I call upon Sandra S. Froman, a member of the Compensation Committee for the Compensation Committee's recommendation.
Sandra S. Froman - Sturm, Ruger & Co., Inc.: Mr. Chairman, I move that the compensation of the company's named executive officers as described in the 2018 proxy statement be approved by advisory vote of the stockholders of record of the company as of March 15, 2018.
C. Michael Jacobi - Sturm, Ruger & Co., Inc.: Are there any remarks on the motion to approve the compensation of the company's named executive officers by advisory vote? The fourth order of business is a shareholder proposal, which, if passed, would require a report on the company's activities related to safety measures and mitigation of harm associated with company products. The shareholder proposal, the supporting statement of the proponent of the proposal, and the board's recommendation and response to that proposal are contained in their entirety in the proxy statement. The affirmative vote of at least the majority of shares entitled to vote and represented in person or by proxy at this meeting as required to approve the shareholder approval. At this time, I call upon the proponent, our qualified representative of the proponent to move the proposal.
Colleen Scanlon - Catholic Health Initiatives: Thank you. Good morning. I'm Colleen Scanlon of Catholic Health Initiatives. And I'm here on behalf of my organization and behalf of the Sisters of the Holy Names and at 10 additional faith-based shareholders to present proposal for. I move that the board issue a report to shareholders by February of 2019 at reasonable expense and excluding proprietary information on the company's activities related to gun safety measures and the mitigation of harm associated with gun products including the following. Evidence of monitoring of violent events associated with products produced by the company, efforts underway to research and produce safer guns and gun products, an assessment of the corporates reputational and financial risks associated with gun violence in the United States. Thank you.
C. Michael Jacobi - Sturm, Ruger & Co., Inc.: Are there any remarks on the shareholder proposal?
Unverified Participant: Yes. My name is Mike Solberg (16:16) and I am a pastor in Hinsdale, Illinois, and a leader with Metro-IAF which represents hundreds of faith-based and civic organizations in the United States and in Europe. And I am also a shareholder of the company. I would like to ask, first of all, a question about the board's response to the proposal put forth by ICCCR. And that is the response to the proposal identifies any issues regarding gun violence as an issue for law enforcement. You say that this is a – you put in quotes, "not so much a public health crisis but rather a law enforcement issue." I have a document signed by a 123 different law enforcement leaders and mayors and even governors of states which shows that many of us disagree. That it is not simply a law enforcement issue, but it is an issue that is broad-based in our society and demands a broad-based solution. And so I would like to ask if the company, Mr. Killoy, if you will meet with us within 30 days to be part of the solution to a broad-based problem and be a part of the broad-based response.
C. Michael Jacobi - Sturm, Ruger & Co., Inc.: Can I just say that a response to that question, I'd like to hold that response until after Mr. Killoy's presentation. So he'll address that when he finishes later today – later this morning. This concludes discussion on all formal matters to be brought before the shareholders, and we will commence to vote on these matters. The polls are open as (18:36)
Kevin B. Reid, Sr. - Sturm, Ruger & Co., Inc.: The polls are open as of 9:19 AM on May 9, 2018 for each matter we've voted upon.
C. Michael Jacobi - Sturm, Ruger & Co., Inc.: The time has come to vote on the matters properly before the meeting. Ballots will be passed out to any stockholder who desires to vote by ballot. There is no need for anyone to vote by ballot if he or she has already voted by proxy.
Kevin B. Reid, Sr. - Sturm, Ruger & Co., Inc.: Is there anyone here who wishes to vote by ballot? The polls – seeing no one, the polls for all voting matters are now closed at 9:20 AM on May 9, 2018.
C. Michael Jacobi - Sturm, Ruger & Co., Inc.: The voting is complete. Accordingly, I will now ask Inspector of Elections for a report on each vote.
Kevin B. Reid, Sr. - Sturm, Ruger & Co., Inc.: Mr. Chairman, we have completed the tabulation of votes with the following results. On the first proposal, the election of directors, I report that the following nominees have been elected as directors of the company to serve until the next Annual Meeting of Stockholders: C. Michael Jacobi; John A. Cosentino, Jr.; Michael O. Fifer; Sandra S. Froman; Christopher J. Killoy; Terrence G. O'Connor; Amir P. Rosenthal; Ronald C. Whitaker; and Phillip C. Widman. On the second proposal, the ratification of the independent auditors for 2018, I report that a majority of the shares present and voting were cast for the approval of RSM US LLP as the company's independent registered public accounting firm for 2018, and their selection is therefore ratified. On the third proposal, the advisory vote on the compensation of the named executive officers, as presented in the proxy statement, I report that a majority of the shares present and voting were cast for the approval of the compensation of the company's named executive officers. On the fourth proposal, which is a shareholders' proposal to require a report on the company's activities related to safety measures and mitigation of harm associated with company products, I report that a majority of the shares present and voting were cast for the proposal and therefore that the proposal did pass.
C. Michael Jacobi - Sturm, Ruger & Co., Inc.: Thank you, Mr. Reid. The chair declares that all of the nominees for director named in the proxy statement have been elected and three proposals have passed. I now direct that Mr. Reid prepare a written report for the results of the election to be incorporated into the minutes of this meeting and included in a Form 8-K. This concludes the formal business of the meeting. At this time, I would like to introduce our CEO, Chris Killoy, and just note that this is Chris's one year anniversary as the CEO. He's been with us for many years and I just want to comment that Chris has done a very skillful job in navigating through a difficult market through the past year. He will make his presentation now.
Christopher John Killoy - Sturm, Ruger & Co., Inc.: Thank you, Mike.
C. Michael Jacobi - Sturm, Ruger & Co., Inc.: I just want to -- at this time, I would like Kevin Reid, our Vice President & General Counsel to read any cautionary statement after which, our President and Chief Executive Officer, Chris Killoy, will report on the company's business to the stockholders, followed by a short question-and-answer period for those present.
Kevin B. Reid, Sr. - Sturm, Ruger & Co., Inc.: So we just want to remind everyone that statements made in the course of this meeting that state the company's or management's intentions, hopes, believes, expectations or predictions of the future are forward-looking statements. It is important to note that the company's actual results could differ materially from those projected in such forward-looking statements. Additional information concerning factors that could cause actual results to differ materially from those in the forward-looking statements is contained from time-to-time in the company's SEC filings, including, but not limited to, the company's reports on Form 10-K for the year ended December 31, 2017, and Form 10-Q for the fiscal quarter ended March 31, 2018. Copies of these documents may be obtained by contacting the company or the SEC or on the company's website at www.ruger.com/corporate or of course, the SEC website at www.sec.gov. We do reference non-GAAP EBITDA. Please note that the reconciliation of GAAP net income to non-GAAP EBITDA can be found in our Form 10-K for the year ended December 31, 2017, and our Form 10-Q for the quarter ended March 31, 2018, which also are posted on our website. Furthermore, the company disclaims all responsibility to update forward-looking statements. Chris?
Christopher John Killoy - Sturm, Ruger & Co., Inc.: Thanks, Kevin. Thanks, Mike. As you know, the shareholder proposal that was presented today passed. That proposal has received a lot of media attention and I'm confident that its passage will as well, but I want to be really clear about what this proposal represents and what it does not. The proposal requires Ruger to prepare a report, that's it, a report. The shareholders have spoken and we will follow through on our obligation to prepare that report in due course. What the proposal does not and cannot do is to force us to change our business, which is lawful and constitutionally protected. What it does not do and cannot do is force us to adopt misguided principles created by groups, who do not own guns, know nothing about our business and frankly would rather see us out of business. The proposal also cannot change what Ruger is about and what we stand for. So, let's talk about that for a few minutes. I'd like to show you a brief video, that'll be followed by some PowerPoint slides and then we'll go to questions and answers. [Video Presentation] (24:04-28:14) All right, for those of you following the webcast, who may not be here present today, there is a link on our website to the video, so you could replay that, that link will be there for a while. Next slide. Going back to 1991 through 2016, this shows a bar chart of firearms production in the U.S. plus imports less exports. So, basically the firearms available to the consumer market. As you can see, it's been an up and down journey. In that 26-year period, there are 25 comparisons year-over-year, 15 of those year-over-year comparisons were up years, 10 of those were down years. And so, when you think about that, volatility in our business is to be expected and anticipated. However, the overall trends are good. They are solid. They represent overall upward trend. But again, anyone who thinks of smooth sailing just has to look at 2017 for an indication how rapidly things can change. The other thing that we look at and that a lot of people and the media look at is NICS checks, the National Instant Check System administered by the FBI. This also shows a lot of volatility, but it would really shows a lot of seasonality. The seasonal spike you see every December are typical within our business and follow a fairly repeatable pattern. But again, the overall trend is up. You'll see month-to-month changes, you'll see analysts say that the business must be in trouble because I see NICS checks down 4% or 5% or things are going great because they're up 4% or 5%. Just a reminder, Ruger sells two step distribution. So what we sell to our distributors, still goes from their warehouses to retailers and then to the consumers. The NICS checks is what happens from the licensed retailer to the consumer. New product development was mentioned in the video, that's really the lifeblood of the company. We start early on listening to our customers. We called Voice of the Customer. We listen to them through a variety of ways. Our folks are in the field all the time, attending matches, working with the retailers. We get a lot of feedback from our sales staff, our distributors, then we spend a lot listening on the various forums whether it's Facebook, social media, whether it's e-mail, the CEO function we have on our website, a lot of feedback comes through us, and we take all that into consideration. Great new product engineering development team, we do -- we're very skilled, the rapid prototyping, our folks have increased ability to rapidly prototype ideas. It's just gone up exponentially in the last couple of years. I'm very proud of our capabilities there. Field testing. We do a lot of field testing. There are a couple of shots in the video of some of us in a management team recently testing some guns that have yet to be launched. But again, that's an important part of our business, is field testing those with our sales staff, with our brand ambassadors, with partners that we have throughout the distribution channel and that helps us stay on track with what our customers are looking for. And then production and inventory before we launch, one of the things that we noticed in this industry some years ago, my predecessor Mike Fifer was picked up on very quickly is so many people would introduce a product and there'd be no product available. You have a lot of hype, might be out a SHOT show, might be at the NRA show, there'd be a lot of hype, a lot of magazine covers, but no product. We've successfully changed that. We've gotten it into our culture that before we launch the products, we have product available and not only available, we actually have it shipped into our distributors' warehouses. So, when you see as a consumer, when you see a product launch notification prior to that there was a launch to our retailers and prior to that was a launch to our distributors or wholesalers to make sure they can have a product at their warehouses ready to go. So just in 2017 and 2018 long period, five-quarter period, but 64 new products, a 106 new models, over 300 distributor exclusives and this is an important part of our business. The distributor exclusives that we might do with, say, Lipsey's or Davidsons right here in Prescott, account for a good percentage of our sales and are critical to keeping the consumer excited, the dealer excited and an increase distributor profitability. So, it's an important part and important strength of the Ruger business model. Currently, we've got over 600 variations going across 40 of our major product lines or product families. The big four that we launched in late-December this year just as 2017 was coming to an end to kick off the show season in Q1 of 2018 pistol-caliber carbine of 9-millimeter, probably the most exciting gun in the industry right now, very tough to get a hold of, we're making them every day that comes out of our factory in Newport, New Hampshire. Security-9 pistol also launched in late-December. Great new product introduction, launched right here in Prescott by our team right up the road here along with the next gun. EC9s falls on the heels of the very successful LC9, again a Prescott product, some of the folks from Prescott that are here today, and I thank all of you for your work on these great guns. And then lastly, the Ruger Precision Rimfire, built down in our newest factory in Mayodan, North Carolina. Those folks down there did a great job with this product, launched a SHOT show. All four of these have had great reaction with our consumers, great reaction with our trade press, and the distributors and retailers and very strong orders as we entered Q1 and actually finished Q1, big part of our success in the last most recent quarter. All told, we had about 49 different SKUs, or stock keeping units, individual models, if you will, that we launched in December at the SHOT show. Everything from new bolt-action rifles with new camo patterns, LCR with a three-inch barrel adjustable sight, our GP100, some of these are legacy products that we continue to refine and enhance, the Mark IV again made here in Prescott, SP101 Match Champion, and then some packaged products that we did at Ruger American Rifle in a Predator series with the Vortex scopes. Again, adding excitement to the industry, adding profitability to retailers and distributors. Now, a little bit of our financials. This is a five-quarter look. So we go back if you look – if you will, from right to left, Q1 of 2017 through 2018. 2017 started off very well. We had a very strong Q1 as you can see from the figures represented there, revenues of $167 million with strong earnings per share and strong profitability throughout. However, 2017 really saw the market changing and scrambling to adapt. Ruger, I think, got out in front of that change from the standpoint of both managing our production, dealing with inventory at the retail and distributor level which is a key factor in navigating through 2017. But there was some pain in 2017. We had a lot of attrition that we didn't replace folks. We were down over 700 heads in that five-quarter period. So that's a tremendous impact to all of our organizations as well as to a lot of those individual families. In Q1 of 2018, things started to turn around. Sales decreased over – a year over a skinny (35:40) year-over-year Q1 2017 to Q1 2018. So it decreased about 22% and our earnings per share decreased 33%. But compared to Q4 2017, sales increased 11% and earnings per share increased 37%. Cash generated from the operations in that quarter, this quarter we just concluded, $45 million. I had mentioned before the inventory picture. Again, being two-step distribution, it pays to remind everyone that Ruger is one of the few firearms manufacturers that only sell through distributors. We don't sell to big box stores or independent retailers directly. So even a company as big as Bass Pro or Cabela's or Walmart are serviced by one of our 19 distributors. So Ruger inventory over the last couple of quarters, we've taken that down. Next one, distributor inventory is also down significantly. Distributor inventory, in fact, peaked in Q2 of 2017, which you see on that slide, down in Q3, down in Q4, and now down to about 252,000 at the end of Q1. Next slide. And a lot of you have heard me talk before about what we expect of distributors. We think it's reasonable that distributors should be able to turn our inventory as a target rate, six to eight times. So in this case, that black line represents six turns, 273,000 units. So right now, we're actually below the 6 turn level. Now, we're not – that's not a perfect science. Things go up. Things go down, but we're very pleased with how we ended Q1 from both inventory in the channel at the wholesale level, anecdotally what we hear at the retail level and then certainly at Ruger down to 51,000 units. Another strong part of Ruger's operation is our strong commitment to a solid balance sheet. Tom Dineen, our CFO, does an excellent job, keeping our strength in this area. This chart indicates cash return to shareholders over from 20 – 2006, shows a history of our cash balances. The cash balances are shown here on the left Y-axis and you see over time significant pattern of stock repurchases as well as special dividend when it makes sense and we also have a quarterly dividend that's paid not based on a fixed rate, but based on 40% of our earnings. So again, our Q1 ending cash balance, $103 million, current cash balance as of today is about $120 million. Our accounts receivable are current at 97% and we have no debt, that's the other thing that separates us from a lot of our fellow companies in the news, the strength of our balance sheet as well as the strength of the overall health of the company. The other day, I think it was a Friday, we had 17.4 million shares outstanding, that reflects the stock repurchases from last year. So for Q1, that's the new total, 17.4 million. On Friday share price is about $58 and just over a $1 billion in market cap. So again, key metrics for a lot of people in the audience, certainly for a lot of our shareholders, but we don't run our company watching the stock price day-to-day. We run at watching what our customers are looking to buy, we run at looking what our distributors are selling downstream into their retailers to make sure we can deliver them what they need, when they need it, keep them profitable and keep them healthy. And then, lastly, a quick update on our 2018 scheduled earnings calls. These will be on our webpage. Next one, Mark. And then in closing, before we take your questions, again, it's a great map up here, shows what the great folks in Newport, New Hampshire, our headquarters Southport, Connecticut, made in North Carolina, our newest factory Ruger Precision Metals just outside St. Louis, Missouri and right here in Prescott, Arizona. We're very proud of all of our factories, all of our people, that's what makes Ruger great. And with that, I think we'd like to open it up to questions.
Kevin B. Reid, Sr. - Sturm, Ruger & Co., Inc.: Yes. At this time, we will open the floor to questions from members of the audience who are here in person. Anyone wishing to ask a question should stand up and come up to the microphone. After being recognized, please identify yourself through the chair, your questions will be addressed by Mr. Killoy. As I noted at the beginning of the meeting, please limit your questions to corporate business and make them no longer than two minutes to allow us time to address all questions. Are there any questions?
Colleen Scanlon - Catholic Health Initiatives: Again, I'm Colleen Scanlon from Catholic Health Initiatives, representing my organization and 10 additional faith-based members of the Interface Center on Corporate Responsibility. The fact that a majority of shareholders is asking you to look at gun safety is incredibly significant. You say you're committed in your video to quality, affordable firearms. What about safer firearms? Can you describe what actions Sturm, Ruger is taking to design and manufacture safer guns and gun products? And any other safety measures the company is undertaking to mitigate the reputational and financial risks the company faces as a result of episodes of gun violence? While gun violence is an issue of concern to everyone, the responsibility to market safe guns sold to the public appropriately lies with gun manufacturers and distributors. In response to public pressure, national gun retailers are imposing greater safety restrictions on guns sold to the public insisting on safer products and clearing their shelves of the most dangerous assault style weapons and accessories. Banks, credit card companies, institutional investors, and large asset managers are all assessing their relationships with the industry. Yet we have seen no evidence of our company's efforts to change its practices and policies. The American public will continue to seek solutions to random senseless gun violence from all stakeholders. They will return to gun manufacturers and expect an honest accounting of the efforts they have made to avoid these tragic events. We want to see Sturm, Ruger presenting solutions and we look forward to working with you to pursue any and all efforts to advance gun safety. If new product development, as you said Mr. Killoy, is the lifeblood of Sturm, Ruger, safer guns needs to be on that development agenda. Please share the corporate efforts you are taking to research and produce safer guns. Thank you.
Christopher John Killoy - Sturm, Ruger & Co., Inc.: Thank you. Well, one of the things I would ask all of you if you haven't already is take a look at our letter to shareholders dated March 12. It's on our website, it's filed as an 8-K and so it's available on the website to review, I think we also have some copies in the back of the room if you care to take a look at that. One of the things we talk about gun safety, Ruger has always sought to design safe firearms. In fact, we're the first firearms company to invent a transfer bar safety to prevent accidental discharge in Colt style single action revolvers, many, many years ago. For over 30 years, we've been shipping locks with every firearm we make, whether it's a handgun, rifle or shotgun. To date, that total of locks distributed with our firearms is over 19 million locks. That's not a requirement, that's a voluntary measure we take to ensure the safe storage of our firearms. I can assure you that at every stage of a new product development, we're constantly looking at things like the product's ability to handle a drop test, product's ability to incorporate a manual safety that works reliably when it should and when it shouldn't. And in fact, we've actually had recalls over the years, when we had a problem with that, we discovered there might be something that just wasn't as good as it should be. And we recall those products as necessary. So we do take that very seriously. Again, I would ask to refer to the March 12 letter, and again, we will be reporting as required on February 9, 2019 in compliance with the shareholder proposal.
Unknown Speaker: Again my name is Mike Sohlberg (44:51), a pastor in Hinsdale, Illinois, and part of the Do Not Stand Idly By campaign of Metro-IAF. As I said, in organization of hundreds of faith-based and civic organizations that addresses matters of common concern to the citizens that are part of our organizations. I was honestly surprised, Mr. Killoy, at the tone of your opening remarks in rejection of the shareholder resolution. You wanted to make it clear right from the start that you're not giving an inch to this shareholder resolution that you will complete the report as required. But that your intent is not really to engage with the shareholders who care about this, nor with possible customers who could, for whom it would add value to the company to respond in a co-operative way. What the ICCR (sic) [ICCCR] (45:56) resolution is looking for and what my organization is looking for is engagement. The reality of gun violence in our society is a complicated, multifaceted issue. The gun manufacturers are not the only part of the problem, but there is a big problem and a solution is multifaceted. And so as a shareholder, I am concerned at the company's unwillingness to engage with other shareholders, other possible customers in trying to figure out how we can reduce the use of our guns in murders and other crimes, not through the standard distribution markets that you recognize, but through secondary markets which everyone knows full well exists and which manufacturers can take measures to begin to describe. You say that it's a law enforcement issue and that all of your wholesalers and their retail outlets are federally licensed and yet everyone knows that the federal -- feds do not have the ability to enforce all of the requirements and that guns do end up in the hands of the wrong people and are used for crimes and that we, as a manufacturer, have a responsibility to try to engage the issue and figure out ways to improve the situation for the reputation of our company and for the well-being of the American public. So Mr. Killoy, again, I ask will you meet with Metro-IAF, and Do Not Stand Idly By campaign within 30 days along with your discussions with ICCR (sic) [ICCCR] (47:40) to address these issues and engage with the public about the safety measures that have been put before you?
Christopher John Killoy - Sturm, Ruger & Co., Inc.: Thank you, reverend. The short answer is, no, we will not be meeting and the real reason is we don't meet with any of our individual shareholders. We don't do – we don't go meet with the big institutional shareholders, we don't hold meetings with our largest institutional shareholders like BlackRock or Vanguard. First, that could be in violation of Regulation FD or fair disclosure from the SEC that when we disclose information regarding our business to one shareholder, we have to disclose it to all. Consequently, that's why we have a series of 8-K reports on our website when if something that we want all of our shareholders to be aware of.
Unknown Speaker: Well, sir, I'll make sure there are no shareholders in the room and the rest of our people can meet with you.
Christopher John Killoy - Sturm, Ruger & Co., Inc.: Regardless, I don't think those people or even shareholders who advance what I would consider to be activist or well-intentioned proposals have our company's best interest at heart. Our company's best interest is served by meeting the needs of our customers at the wholesale, retailer and consumer level and those customers and we have a – we do share a responsibility to our shareholders to ensure a fair return on their investment in the company and we don't see that people who ask us to stop manufacturing firearms that are perfectly legal and sold throughout the country is in the best interest of our shareholders.
Unknown Speaker: But that's what I want to do. I want to clarify that's not what we're doing, we are not gun control advocates. We are not encouraging you not to make certain weapons. We are encouraging you to take the reputational risks of this issue seriously and engage with those who want to make a difference.
Christopher John Killoy - Sturm, Ruger & Co., Inc.: Well, I can assure you we always -- reputational risks is a big factor and in our 10-K, we outlined key risk factors to our business. And reputational risk can result in either legislation, litigation or decreased demand from our consumers, all of which we outlined as risk factors in our 10-K.
Unknown Speaker: Well, I hope that all of the shareholders listening around the world are listening to this continued policy of non-engagement on an issue that obviously matters to over half of the shareholders of the company.
Kevin B. Reid, Sr. - Sturm, Ruger & Co., Inc.: If I may interrupt, I just want to remind everyone that the purpose of this time is to ask questions, is not intended to be a political forum or an opportunity to air your views. So if you would please limit yourself to questions to remain to the company and the business of hand, I would appreciate it.
Unknown Speaker: I appreciate the company, but I appreciate the comment, but all of my comments have been aimed at the reputational risk of the company, not what you would consider to be political statements.
C. Michael Jacobi - Sturm, Ruger & Co., Inc.: All right. Are there any other any other – okay.
Unknown Speaker: Good morning.
Christopher John Killoy - Sturm, Ruger & Co., Inc.: Good morning.
Unknown Speaker: I am a former Marine and a gunner. My name is Terrell Williams (50:41), I'm an organizer with build (50:44) and I have run a program in Baltimore City for people who are incarcerated in helping them to get living wage jobs. But today, I am here to urge you to act. I am here to say, can you be really a part of the solution. Your guns are the second most common guns collected by police in crime in every city from which we have collected data, and I'd like to add does the prevalence of these guns in police statistics are there serious risk to the company's reputation and its future. I was shot in 2001. I was shot driving from D.C. to St. Louis to visit my dying father. I was fortunate to survive, but many people are not. This type of gun violence happens every day in our cities. This past Saturday, two teens were shot, one of them was killed. His father had just taken him three weeks earlier to Hampton University with a star lacrosse player, captain of the team. This issue of gun violence must be dealt with from our stakeholders and stockholders alike, on life and death situations we cannot sit on the side. Together, I believe, we can do a better job with background check together. I believe that we can change this capacity on magazines together. I believe that we can work together to bring to market a secure, safe, smart and traceable product. Maybe, maybe you haven't had your skin pierced by a bullet or someone you love or the people who look like you. Certainly, those that look like me suffer from it every single day. You have a seat at this table. I need you to have a seat at the solution table. You can't be spectators. We have to act. There are two African-American men in this room today. I am one and there's one on your board. I am saying to you you've got to listen to us. We need to be with you Mr. Killoy. We need your attention. I believe Ruger can be a leader in this industry. But I believe that you are smart capable executive that can make great decisions. But I believe in starting, instead of starting with products, we have got to begin to start with people, and think about how is this great product we make is affecting people every single day. So I ask of you, think about it, reconsider meeting with us. We are not an advocacy group. We are a group who cares about people and I care about my gun. So that is not the issue here. I want us to continue to move forward. I want us to continue to have a profitable organization, but we have to be sensible, and that's all we ask. Just meet with us. Thank you so much.
Christopher John Killoy - Sturm, Ruger & Co., Inc.: Thank you.
Kevin B. Reid, Sr. - Sturm, Ruger & Co., Inc.: Well, sir, first thank you for the question. Thank you for your service. As I mentioned before, we will not be meeting with individual shareholders or groups, but I would encourage you to potentially meet with the National Shooting Sports Foundation, which represents multiple manufacturers within the industry. And there -- that may be appropriate first step for that conversation.
Unknown Speaker: Sir, could you help us get that meeting, please?
Kevin B. Reid, Sr. - Sturm, Ruger & Co., Inc.: I can certainly get you their contact information and let -- get (54:28).
Unknown Speaker: I'll take that as a yes.
Kevin B. Reid, Sr. - Sturm, Ruger & Co., Inc.: I will put you in – I will give you their contact information and reach out to them, and let them know you'll be contacted.
Unknown Speaker: We'll appreciate that. Thank you.
Unknown Speaker: Good morning. (54:42) 1776 Holdings. My question relates to there's some quality assets on the market as you're aware and certainly (54:51) or can't get into specifics. But I'm hoping to get a definitive answer on a very general question, which is this. All else being equal, would you rather acquire a ammunition operation or a gun brand?
Christopher John Killoy - Sturm, Ruger & Co., Inc.: We were in our board meeting yesterday. One of the things we talk – we do talk about that, one of the challenges is, some of the firearms brands on the market duplicate quite heavily some of the products that we already are into. If something comes on the market, if there's an opportunity, we're just going to take a look at it. On the ammunition side, that might make sense as well. The challenge with ammunition is, yeah, collectively within Ruger, we have a great management team, a great operations team, very skilled in lean manufacturing, but frankly none of us have ever run an ammunition company. We don't have to worry about hedging our commodities and things like that. So that's one of the things we might take a long hard look at. We have to ground ourselves with the fact that we don't have a lot of experience in that part of the business. But it's certainly on the table, if that – those potential transactions come down the road or come available.
Unknown Speaker: And is our analysis correct that there's not a lot of players that are able to do a big deal. Everybody is pretty hamstrung and of those who could do potentially reasonably sized deals, Ruger would probably be amongst a few?
Christopher John Killoy - Sturm, Ruger & Co., Inc.: I think that's probably a safe assumption. I mean, a lot of the big banks no longer want to be in this space. So you've got the financial buyers that may not be supportive of those transactions and so it maybe strategic buyers that maybe have the better opportunity.
Unknown Speaker: Thank you.
Colleen Scanlon - Catholic Health Initiatives: It's Colleen Scanlon. I'd like to ask one more question, I'm from Catholic Health Initiatives. In your statement of opposition to our shareholder proposal, you state that smart gun technology is not available. I think what the shareholders are asking is, what you can do to change that reality? Will you put that on your agenda so that the same security tracing protections I have on my iPhone will be on guns in the near future so as to protect our society, our communities, the individuals who live in them and particularly our children.
Christopher John Killoy - Sturm, Ruger & Co., Inc.: Thank you. First off, we wouldn't disclose proprietary or confidential information about the – what we're working on or what we're not to look everything down to what's the next caliber in a new firearm to something like individual user technology or smart gun technology, so-called. One of the things to point out though, it goes without saying an iPhone if you drop it a couple of times, it's not going to function like it should. A firearm has an extremely robust operating system and there are a lot of challenges just because you can get your fingerprint recognition on an iPhone doesn't mean that can work on a firearm. But again, we don't comment on anything that we might or might not be looking at. Well, certainly, I believe that was one of the topics in the shareholder proposal. So, we'll certainly report about – report on that as appropriate to the proposal as drafted and approved by the shareholders.
Kevin B. Reid, Sr. - Sturm, Ruger & Co., Inc.: Are there any other questions?
Unknown Speaker: Good morning, Mr. Killoy.
Christopher John Killoy - Sturm, Ruger & Co., Inc.: Good morning.
Unknown Speaker: I'm Maria Cristina, Penguin Island (58:25) with also with Metro-IAF and the Do Not Stand Idly By campaign. I'm from Baltimore. And yesterday, at 7:42 in the morning, my son Ben (58:38) turned 10 years old. I was in my car driving to the airport to try and catch a 9:25 flight to Phoenix and if you can imagine the decision to come here was a difficult one. And last week, when I was struggling with the decision whether or not to come, I decided to talk with Ben (59:02), I told him about the meeting and what it was about, why I felt it was important and my dilemma. He's a bright and thoughtful boy. And I wanted to know what he thought. And so the first thing he said was, well, mom, I need some more time to think about it. And so I checked back in with him after an hour and he looked at me very seriously with his eyebrows furrowed and he said, mom, I really think you should go. And I've said why Ben (59:34), it means I'm going to be gone for your birthday. And he said, well, mommy, it's a really big problem and if there's something you can do to help, you should go. And so my son, Ben (59:54) just shy of his 10th birthday was able to give voice to a key moral human truth that if there's a problem and it's within your power to do something, you should. The 19th chapter in the book of Leviticus 16 verse puts it this way when it comes to human life, "when your neighbor's life is threatened, do not stand idly by." I cannot stand idly by because people who I know have lost their lives to the misuse of guns including a young man that I taught in middle school before I became a priest. His name is Dominick Dungey (60:43) and two years ago at the age of 26, he was shot and killed in Baltimore and it was a case of mistaken identity. And so my question to you is will you and Sturm, Ruger also not stand idly by and use the power that you have to engage with us and people who want to see a change and will you reply to this RFP – RFI, requests for information, that's been signed and supported by 123 jurisdictions to move forward and be part of the solution?
Christopher John Killoy - Sturm, Ruger & Co., Inc.: I believe we have a copy of the RFI, Kevin.
Kevin B. Reid, Sr. - Sturm, Ruger & Co., Inc.: Yeah. We have it. Yes.
Christopher John Killoy - Sturm, Ruger & Co., Inc.: So let me take a look at that when I get back to the office, and I'll take a look at it.
Unknown Speaker: Thank you.
Christopher John Killoy - Sturm, Ruger & Co., Inc.: And consider that. We do not plan, as I said, to do individual shareholder meetings. And again, I would tell you that Ruger is very concerned about – and always has been about our business practices. We work closely with the ATF. We work closely with federal, state and local law enforcement on enforcement of existing firearms laws, every fire – every Ruger firearm by the time it gets to the background check that takes place at retail with a federal Form 4473 has already gone from a fact – one of Ruger factories where we undergo periodic ATF inspections and for the last five years or six years we've had zero violations from the ATF inspections. So it goes from our federal firearms license to a wholesaler, also federally licensed, then to a retailer also federally licensed. And then before the consumer can buy it, it goes through a federal background check based on the individual states, those are somewhat different, that's how they're handled. But all of them get that federal background check at retail. So we're proud to work with that system. We're proud to continue to support that, enhance it. We supported the NSSF's, our industry trade associations, FixNICS campaigns to better improve that background check process, it improved the state of mental health records in the FBI database. And we've been supportive of that since 2013. So – but I will take a look at that RFI when I get back. I think Mr. Reid has a copy, and take a look at it.
Unknown Speaker: Thank you. I just respectfully ask when might we respect a response just so that we can have our eyes and ears open.
Christopher John Killoy - Sturm, Ruger & Co., Inc.: Take a look at it and, Kevin, when we get back and we can – in the next 30 days, we can.
Unknown Speaker: Next 30 days.
Christopher John Killoy - Sturm, Ruger & Co., Inc.: No, that doesn't mean I'm going to respond in something that you're going to necessarily appreciate or like, but we'll – I'll take a look at it. I'll read every point and I'll get back to you on it.
Unknown Speaker: Thank you.
Christopher John Killoy - Sturm, Ruger & Co., Inc.: Okay.
Unknown Speaker: I'm sure I've taken my two minutes; Mike Sohlberg (63:30) again. But Mr. Reid, I just wanted to ask a very specific question. Can you report the actual percentages of the vote on the shareholder resolution? You've reported a majority, but will you report the actual percentages, please?
Kevin B. Reid, Sr. - Sturm, Ruger & Co., Inc.: Those will get filed with the 10-K. That information will become available.
Unknown Speaker: You're not able to (63:47) right now?
Kevin B. Reid, Sr. - Sturm, Ruger & Co., Inc.: No. Not right now.
C. Michael Jacobi - Sturm, Ruger & Co., Inc.: Are there any other questions? Okay. There will be no other business to come before the meeting. I'll ask for a motion to adjourn.
Michael O. Fifer - Sturm, Ruger & Co., Inc.: Mr. Chairman, I move that the 2018 Annual Meeting of Stockholders of the company be adjourned.
C. Michael Jacobi - Sturm, Ruger & Co., Inc.: May I have a voice vote on the motion all in favor, signify by saying aye?
Unverified Participant: Aye.
Unverified Participant: Aye.
C. Michael Jacobi - Sturm, Ruger & Co., Inc.: The 2018 Annual Meeting of the Stockholders of the company is hereby adjourned. On behalf of the Board of Directors, I would like to thank you for attending the meeting and for your continued support of the company. Thank you.
Kevin B. Reid, Sr. - Sturm, Ruger & Co., Inc.: And one final statement as all of you head home today. Ruger like all companies is a collection of people. In our case, we are Americans who work together to produce rugged, reliable, innovative and affordable firearms for responsible citizens. We are staunch supporters of the Second Amendment, not because we make firearms, but because we cherish the rights conferred by it. We understand the importance of those rights and as importantly we recognize that allowing our constitutionally protected freedoms to be eroded for the sake of political expediency is a wrong approach for our company, for our industry, for our customers and for our country. We are arms makers for responsible citizens and I want to assure our long-term shareholders and loyal customers that we have no intention of changing that. Thank you.